Operator: Welcome to the Chatham Lodging Trust First Quarter Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session, and instructions will be provided at that time. (Operator Instructions) I would like to remind everyone that this conference call is being recorded today May 8, 2013. I will now turn the conference over to Jerry Daly with the Daly Gray. Please go ahead.
Jerry Daly: Thank you, Angel, and good morning everyone and welcome to Chatham Lodging Trust first quarter 2013 results conference call. Yesterday, after the close of the market Chatham will release results for the first quarter ended March 31, 2013, and I hope you’ve got a chance to review the press release. If for any reason, you did not receive a copy or would like a copy, please call my office at 703-435-6293 and we’ll be happy to e-mail one to you or you may view the release online at Chatham’s website, www.chathamlodgingtrust.com. Today’s conference call is being transmitted live via telephone and by webcast over Chatham’s website and at streetevents.com. A recording of the call will be available by telephone until midnight on Wednesday, May 15, 2013, by dialing 1-800-406-7325, with a reference number of 4616125. A replay of the conference call will be posted on Chatham’s website. As a reminder, this conference call is the property of Chatham Lodging Trust, and any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Chatham is prohibited. Before we begin, management has asked me to remind you that in keeping with the SEC’s Safe Harbor guidelines, today’s conference call may contain forward-looking statements about Chatham Lodging Trust, including statements regarding future operating results and the timing and composition of revenues among others. Except for historical information, these forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially, including the volatility of the national economy, economic conditions generally, and the hotel and real estate markets specifically, international, geo-political difficulties or health concerns, governmental actions, legislative and regulatory changes, availability of debt and equity capital, interest rates, competition, weather conditions or natural disasters, supply and demand for lodging facilities in our current and proposed market areas and the company’s ability to manage integration and growth. Additional risks are discussed in the company’s filings with the Securities and Exchange Commission. All information in this call is as of May 07, 2013 unless otherwise noted, and the company undertakes no obligation to update any forward-looking statement to conform the statement to actual results or changes in the company’s expectations. During this call, we may refer to certain non-GAAP financial measures, such as EBITDA and adjusted EBITDA, which we believe to be common in the industry, and helpful indicators of our performance. In keeping with SEC regulations, we have provided and encourage you to refer to the reconciliation of these measures to GAAP results in our earnings release. Now, to provide you with some insights into Chatham’s 2013 first quarter results, let me introduce Jeff Fisher, Chairman, President and Chief Executive Officer; and Dennis Craven, Executive Vice President and Chief Financial Officer. Jeff?
Jeffrey H. Fisher: Thanks, Jerry, and good morning, everyone. Dennis and I again are happy to be here with you, talk about our first quarter and our prospects for the rest of the year. Again to reiterate, for the first quarter earnings two sets higher than consensus, and very strong operating results within Chatham and the joint venture properties. On the balance sheet side, we had a very successful offering in January, the money was put to work within 30 days, and we acquired two great hotels. Additionally, always working on the balance sheet and the debt side, we’re pleased with our refinance on additional hotel as that we accomplished during the first quarter as well. Taking a look at the numbers, RevPAR grew 6.3% at our comparable 19 hotels in line with industry RevPAR growth of 6.4%. We had solid double digit RevPAR gains in our Houston hotels, our Pennsylvania hotels, and our New York area hotels in White Plains, New York and Holtsville, New York, which was aided by the residual Superstorm Sandy business. Our new Portland, Maine hotel also had a great quarter as we discussed at the year end, in terms of the prospects there with RevPAR growth of 14%. These strong results more than offset the effects of having two Residence Inns, under renovation in Anaheim, California and New Rochelle, New York. As we moved out of the quarter, in April RevPAR growth accelerated up 7.2% at our comparable 19 hotels, and 5.6% when you look at all 20 of the hotels. Adjusted EBITDA increased 10% to $9.4 million, adjusted FFO increased 55% to $4.5 million, and adjusted FFO per share jumped 24% to $0.26 per share $0.02 higher than consensus at a penny above the range we provided. Results benefited from outstanding performance by the two recently acquired hotels in Houston and Portland, very strong operating results in the JV, and reduced interest expense due to the refinancings in late 2012 and early 2013. Year-over-year operating margins were unchanged at 42.1%. We expected that since we’ve got hotels under renovation in the first quarter, and the rebranding of the D.C. hotel, our margins were adversely impacted by approximately 50 basis points due to higher than normal repairs and maintenance expenses in those assets. Additionally, when we acquire hotels and there is a change in management, we typically spend a bit more at the outset just getting the hotels back to the condition that we liked to seem them in. Very encouraging news is that, in the first quarter, three quarters of our RevPAR growth at our 19 comparable hotels was driven by increases in rates, which bodes well, as well as we progress through this year, and our operating expenses normalize. Our operating model as you know is very efficient at driving revenue growth to the bottom line as the cycle matures and a larger component of the RevPAR increase continues to be driven by ADR increases, our ability to generate excess cash flow through operating leverage accelerates, which leads to further dividend increases. On the operating side of our Innkeepers joint venture with Cerberus, RevPAR growth was 6.8% for the quarter. As most of you know, we have got a significant presence in Silicon Valley with eight upscale extended state hotels, seven Residence Inns and one Hyatt House there. RevPAR in the Silicon Valley hotels was up over 13% in the quarter, and we continue to see increased demand and ability to drive rents. With respect to the performance of the JV, EBITDA and FFO from the JV exceeded our internal projections by approximately 10%, adding another penny of FFO in the quarter. The conversion of our unbranded D.C. hotel to a Residence Inn is making progress with most of the public space scheduled for completion at the end, by the end of June. We expect to complete the work required within the guest rooms by the end of August, and therefore we are scheduled for September 1 conversion to Residence Inn brand. We continued our growth, but we acquired for $35 million, a beautiful courtyard by Marriott Hotel in the heart of the Houston Medical Center and in late 2012, we acquired another great hotel The Waterfront in Portland, Maine. As we discussed, the outstanding results in the first quarter, again, show that those were two great additions to our portfolio given their brand, their location, the internal growth prospects for those assets, and also their very young age. In January, we completed a $53 million equity offering at $14.70 per share, and essentially match funded the offering with the accretive acquisition of the Portland and Houston hotels. We’re very cognizant to not dilute our shareholders with massive offerings that do not have a meaningful use of proceeds within a short period of time. Using reasonable amounts of leverage produces optimal results for our shareholders, and we are comfortable with these levels at this point in the cycle. We are excited about the opportunity to continue our growth as we have a very active pipeline for acquisitions, which allows us to make the right deals for our shareholders. When you compare our absolute RevPAR to other public REITs, we have one of the highest quality select service investment portfolios in the REIT space, and we’ll continue to find assets that meet our very strict acquisition criteria. Rest assured though, we will continue to grow Chatham prudently as markets allow and with reasonable leverage match funding any equity offering as we did in January. With that, I’d like to turn it over to Dennis for a little more detail.
Dennis M. Craven: Thanks, Jeff, and good morning everyone. For the first quarter, we reported a net loss of $1.6 million or $0.10 per diluted share, compared to a net loss of $1.7 million or $0.13 per diluted share in the 2012 first quarter. First quarter RevPAR was up 4.2% to $101 in our 20 hotels compared to our prior earnings guidance, plus 3% to 5%. Excluding the unbranded D.C. hotel, our RevPAR was up 6.4% with occupancy edging up 20 basis points to 76.3% in the quarter for all hotels and 77.1%, excluding the D.C. hotel. Adjusted EBITDA for the company increased $0.8 million or approximately 10% to $9.4 million with the jump attributable to the acquisitions that we made in late 2012 and 2013 and as well as the outstanding performance within our joint venture. During the quarter, the joint venture contributed approximately $2.1 million of adjusted EBITDA to Chatham. Adjusted FFO jumped significantly 55% to $4.5 million, up $1.6 million from 2012, and on a per share basis, FFO per share rose approximately 25% to $0.26 in 2013. In addition to our strong operating performance, the jump in FFO was aided by the $1 million decrease or approximately 20% decrease in interest expenses resulting from our refinancing of the line of credit in late 2012, as well as the various refinancing efforts we made in the first quarter. Looking at the balance sheet, our net debt was approximately $224 million at the end of the quarter, comprised of debt of $229 million at an average rate of approximately 4.25%, offset by $5 million of cash. Debt includes $96.5 million outstanding on our $115 million line of credit and our ratio of net debt to hotel investments including our investment in the joint venture was approximately 44%. Our coverage ratio has remained strong on a trailing 12 months basis, our fixed charge –excuse me, our debt service coverage ratio of about 2.2 times. During the quarter, our net debt decreased $11 million that we – as we used proceeds from our equity offering to slightly deleverage the portfolio. As we move through 2013 with a very little renovation obligations, we expect to use excess cash to pay down our line and free up capacity for any additional investments. In early 2013, as we discussed, we refinanced about $80 million of debt on three of the five CMBS loans on the 5 Sisters portfolio that we assumed in 2011, and additionally, we paid off an approximately $20 million loan on the D.C. hotel that was also assumed in 2011 as part of that portfolio. All of the prior loans carried a rate of approximately 6%, now they carry a rate of approximately 4.6%. At we saw in the press release, we issued not too long ago subsequent to the end of the quarter, we issued $20 million of debt on our Houston Courtyard hotel at an even more attractive rate of 4.18%. With long term borrowing rates at historically low levels, we will continue to take advantage of these market conditions to fund a portion of our acquisitions. We have reduced the weighted average rate on our fixed rate debt to almost 5%, and we’ve extended the weighted average maturity on our fixed rate debt to 2021. We have only $5 million of maturities in 2015, and only $38 million maturing in 2016. And after that, our next maturity is 2021. Using reasonable leverage enables us to lock in solid long term returns for our shareholders, and after all, that’s what we’re here for. With respect to our joint venture investment, we received no distributions during the quarter, which was expected since the first and the fourth quarters of 2012, are typically slow in terms of generating significant excess cash in those quarters. We did sell one unbranded hotel for approximately $3 million during the quarter; it generated no net proceeds for Chatham as there was debt encumbering the hotel at the date of sale. When I look over to our guidance for 2013, it assumes that no factors out there that we are unaware of at this point in time, which could have a negative effect on the industry. It assumes economic growth in line with current projections. We are maintaining our adjusted FFO per share guidance of $1.58 to $1.64, one of highest within the REIT space. The out performance in the first quarter is going to be offset through the balance of the year with a slight increase in interest expense of a couple of hundred thousand dollars related to the $20 million loan on the Houston Courtyard hotel, as well as the delay related to the D.C. conversion, which is impacting FFO by a couple of cents for the full year and a penny in the second and third quarters. As we move through 2014 though, with respect to the D.C. hotel, we’ll certainly have a very easy comp in that hotel. It will be operating obviously all of 2014 with the Residence Inn brand, and we look for a very good performance coming out of the gates in that asset. Our second quarter RevPAR projection is showing growth of 4% to 5% for all 20 hotels. RevPAR at unbranded D.C. hotel is projected to decline approximately 30% in the quarter, bringing down our portfolio RevPAR growth by almost 200 basis points. We have seen a bit of softness in Tysons Corner in the second quarter due to sequestration. It hasn’t impacted occupancy, but it has impacted the rates that we’ve been able to gain in that hotel. Our interest expense as previously discussed is estimated for the full year at $10.2 million, which is up $0.2 million due to the new loan on the Courtyard in Houston. Our projections do not include any other changes to our capital stack or equity offerings throughout the year. From a dispositions perspective, we don’t expect any in 2013 for Chatham, and within the joint venture, we do expect to have completed the sale of at least one or two of the remaining unbranded assets in the second quarter. Lastly, subsequent to the end of the quarter, we did expand our relationship with Cerberus by investing in a new joint venture that acquired a Residence Inn in Torrance, California for $31 million. We own an approximate 5% interest in the joint venture, and it does carry similar promote features to what we have with the Innkeepers joint venture. That hotel is being operated and managed by Marriott International. And operator, that concludes our remarks. And with that we’ll turn it over to questions.
Operator: Thank you. (Operator Instructions) And your first question comes from the line of Will Marks from JMP Securities. Please go ahead.
Will Marks – JMP Securities: Thank you. Good morning, Jeff. Good morning, Dennis.
Jeffrey H. Fisher: Good morning, Will.
Will Marks – JMP Securities: Hello, I guess first, you’ve mentioned, quickly you were able to put some money to work, and can you talk a little bit about just your desire for future investments, and what type of cap rates were seen, are they going down or they up, just some big picture comments?
Jeffrey H. Fisher: Yeah, I’ll take that one at the outset here. Of course, we have a strong desire to grow this company. We’ve said that all along. We have a strong pipeline of hotels that we’re working on here; I’d say most of them actually are again direct negotiations with no intermediary or broker in the middle here. So we feel good about delivering similar kind of cap rates as we did on the Portland and Houston deal. Portland was a higher cap rate, but as the Houston deal, and we think that match-funding those in a conservative prudent way without dumping too much stock on the market either is very important, we believe in maintaining the scarcity up the stock, and therefore supporting the price of the stock as we move forward and grow this company. So I would look forward in the second and third quarter to see some acquisition action by us.
Will Marks – JMP Securities: Okay, great. And then just, in the market has there been – there have been any cap rates at all? I know it’s a very general question and varies by market. Are we seeing movement into your markets more capital and to maybe, call it secondary markets?
Jeffrey H. Fisher: Well, I’ll tell you what I see. On the select service side of life, right now urban CBD Gateway City assets that are select service probably garner similar cap rates as any full service asset in a similar market. So as you know, our strategy has always been to be just outside that center City location. So within the assets that we’re talking about, and the hotels that we are targeted to acquire, we’re still kind of in this $7.5 cap, 8 cap 2013 real number is achievable numbers for this year as our bogey anyway; and I don’t think that’s really compressed over the last 12 months or so as you’ve read about some of the southern activity.
Will Marks – JMP Securities: Okay, thanks for that. And I guess my last question is, you did give a Q2 forecast as well as full year Q2 RevPAR growth. I heard it’s right in the middle or the exact same as full year, are Q3 and Q4 consistent, is there any one quarter that’s a difficult card?
Dennis M. Craven: Yeah, I mean Q3 we expect to be a little bit better than Q2 in terms of RevPAR growth. Q4 is going to be a little bit down, not in terms of RevPAR growth. But from a growth perspective, lower in kind of that 2% to 4%, 3% to 5% range because of – and we – when we talked about in February, which is we are coming over very difficult comps with the Superstorm Sandy business, that benefited us in the first and fourth quarter by about 160 basis points. So you do have that very abnormal comp for that one hotel that that may bring back just a normalized throughout the rest of the year. Certainly, April was a little bit better than we expected. May is trending well, not much different than what we forecasted, but it is picking up steam as we’ve moved through the month. So all-in-all things look pretty good.
Will Marks – JMP Securities: Okay, great. I appreciate it. Thank you.
Jeffrey H. Fisher: Thanks, Will.
Operator: And the next question comes from the line of Nikhil Bhalla from FBR. Please go ahead.
Nikhil Bhalla – FBR Capital Markets: Yeah, hi. Good morning, everyone.
Jeffrey H. Fisher: Good morning, Nikhil.
Dennis M. Craven: Hey, Nikhil.
Nikhil Bhalla – FBR Capital Markets: Hi, how are you? Just a question on sequestration here in D.C., you talked about seeing some impact on the rate side not so much on the occupancy side, if you could just give us some color on what may be going on in the market here, is it the competitors who are dropping rates to pick up some volume, just any color would be appreciative. Thank you.
Dennis M. Craven: Yeah, I mean, I think when you look at both our D.C. assets as an unbranded asset, currently in the Tysons Corner asset, and one of the benefits that we’ve got – they’re both extended stay type boxes, and the ability to bring in occupied rooms for that room product has allowed us, I think you saw maybe Chesapeake talk about some impacts on RevPAR because of some sequestration at couple of their hotels. With our hotels, we’ve been able to do a very good job, just maintaining occupancy with the residents in and even with the DoubleTree, even with it being out of service, without a brand, we’ve been able to maintain that. So the only impact has just been the fact that the overall room demand is down little bit, and therefore you do have to sacrifice your rates.
Jeffrey H. Fisher: It’s really yield management, Nikhil.
Nikhil Bhalla – FBR Capital Markets: Got it. And just when you opened the new Residence Inn later this year, do you expect that, maybe that impact persists at that point in time when you opened this hotel?
Jeffrey H. Fisher: Look, I would guess that this issue obviously remains there for the balance of the year for whatever hotels that are being affected. We are no less bullish though. It’s only 100 to 104 room hotel, and when we plug this baby into the Marriott reservation system, I think we already know what we’re going to get. So again, maybe ADR could be affected just a little bit, but I think it’s going to be a real strong operator and it is a great location.
Nikhil Bhalla – FBR Capital Markets: That’s great. And then just finally, Jeff, when you look at what you have in the pipeline right now in terms of acquisitions, would it be fair to assume that, your next – most of your acquisition candidates are part of the JV Cerberus, JV with Cerberus?
Jeffrey H. Fisher: No, no. We’ve got a very nice pipeline of hotels that are from other owners that we’ve done business with before or individuals that we’ve kind of been talking to. So the opportunity to buy, I think overtime will always be there out of the JV, but we’ve got a good, we want to have a deep pipeline, and we want to be able to make acquisitions that give the kind of going in yields for the first year that we know result in positive accretion for our shareholders here.
Nikhil Bhalla – FBR Capital Markets: Got it, thank you so much.
Operator: (Operator Instructions) And gentlemen there are no further questions at this time.
Jeffrey H. Fisher: Well, we’ll finish up just by saying again, that we are as we normally say we’re pleased here with our results for this first quarter. As Dennis indicated, April was a great month, May looks strong. The only negative impact here at all is running an independent hotel that in the prior year was plugged into the Hilton reservation system, and was a DoubleTree, so obviously year-over-year we’ve got some drag there. But I’ll tell you what, we are working as fast as we can. I’ll be at that hotel tomorrow, and in terms of this D.C. conversion to Residence Inn, we do expect some pretty strong back half of year results out of that. Additionally, as we grow this company, we are using one of our top acquisition criteria is to be acquiring hotels that have RevPAR growth and internal growth prospects at least as good if not better than the internal growth of the company taken as a whole. So we’re looking for accretion on all ends as we grow here, and I feel very positive about our ability to do that and continue to grow our cash flow and our share price as we move forward. So hopefully, we’ve done a good job, lack of questions sometimes, hopefully means that on this call. Any other questions, Dennis and I are here to take those calls anytime. Thank you, all.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.